Operator: Good morning, ladies and gentlemen. My name is Sylvie, and I will be your operator for Crescent Point Energy's First Quarter 2022 Conference Call. This conference call is being recorded today and will be broadcast along with a slide deck, which could be found on Crescent Point's website home page. This webcast may not be recorded or rebroadcast without the expressed consent of Crescent Point Energy. All amounts discussed today are in Canadian dollars with the exception of West Texas Intermediate or WTI pricing, which is quoted in U.S. dollars. The complete financial statements and management's discussion and analysis for the period ending March 31, 2022, were announced this morning and are available on the Crescent Point, SEDAR and EDGAR websites. [Operator Instructions] During the call, management may make projections or other forward-looking statements regarding future events or future financial performance. Actual performance, events or results may differ materially. Additional information or factors that could affect Crescent Point's operations or financial results are included in Crescent Point's most recent annual information form, which may be accessed to the Crescent Point, SEDAR or EDGAR websites or by contacting Crescent Point Energy. Management also calls your attention to the forward-looking information and non-GAAP measures sections of the press release issued earlier today. I will now turn the call over to Mr. Craig Bryksa, President and Chief Executive Officer at Crescent Point. Please go ahead, sir.
Craig Bryksa: Thank you, operator. I'd like to welcome everyone to our first quarter 2022 conference call. With me today are Ken Lamont, our Chief Financial Officer; and Ryan Gritzfeldt, our Chief Operating Officer. As the operator highlighted, this conference call is being webcast along with the slide deck, which can be found on our website. We've had a great start to 2022, building upon our balance sheet strength and sustainability. Our first quarter results demonstrate our continued capital discipline and our focus on growing excess cash flow for increased shareholder returns. We generated $290 million of excess cash flow in the quarter, which allowed us to further reduce our net debt by $230 million and accelerate our return of capital to shareholders. As a result of our significant excess cash flow generation, we are now on pace to achieve our near-term debt target of $1.3 billion in the third quarter. I'm also pleased to announce that we are increasing our quarterly dividend by more than 40% to $0.065 per share or $0.26 per share on an annualized basis. This marks our third consecutive dividend increase. We also remain on track to execute our previously announced plan to repurchase up to $150 million of our shares by mid-2022 as we continue to see tremendous value in our shares at current valuations. Of these planned repurchases, we have already executed approximately 13.5 million shares or more than 70% of our plans for the first half of the year. As we reach our near-term debt target, we expect to be in even stronger position to increase the level of excess cash flow we return to shareholders. We plan to announce a more detailed return of capital framework in the upcoming months as part of our commitment to our shareholder returns. On the operations side, we continue to proactively control our costs despite the current inflationary environment. By putting in place contracts with a number of our service providers, we have successfully managed our supply chain to mitigate inflationary pressures. Our cost control efforts have also been enhanced by our ability to realize efficiencies across our asset base. As a result, we expect our development capital expenditures will be between $875 million to $900 million, which is within our prior guidance range. We will continue to monitor our cost assumptions as the year progresses. We have also realized great progress on our ESG performance. I'm pleased to report that we have surpassed our GHG reduction target 3 years ahead of schedule and continued our Board renewal process, putting forward a new independent director for election at our AGM next week. I'd like to thank our employees for their hard work and contributions towards another great quarter at Crescent Point. I'll now turn the call over to Ken to discuss our financial results. Ken?
Ken Lamont: Thanks, Craig. For the quarter ended March 31, 2022, adjusted funds flow totaled $534 million or $0.92 per share diluted driven by a strong operating netback of $62 per BOE. Development capital expenditures for the quarter, which includes drilling and development, facilities and seismic, totaled approximately $204 million. We reported net income of $1.2 billion for the first quarter primarily driven by a reversal of a noncash impairment resulting from an increase in forward commodity prices. Adjusted net earnings from operations was approximately $241 million. Our net debt at quarter end totaled $1.8 billion, which was down $230 million since year-end 2021. Our unutilized credit capacity also remained strong at over $2 billion. As Craig mentioned, we have increased our dividend for the upcoming quarter. Our new quarterly dividend of $0.065 per share or $0.26 annualized is based on our framework that targets dividend sustainability at lower WTI prices and allows for flexibility to return additional capital over time. To further supplement this core dividend, we remain active on our buyback program and expect to complete the purchase of approximately $150 million of our shares by midyear. Since December 2021, we have now repurchased for cancellation approximately 13.5 million shares for a total consideration of $110 million. Under our current NCIB, which expires in early March 2023, we have approval to repurchase up to 10% of our public float. Our buyback process remains disciplined and is based on a framework that incorporates conservative mid-cycle price assumptions. We remain active on repurchases in the current market given our compelling valuation. Overall, our allocation of capital continues to demonstrate our commitment to a model that generates value through a combination of capital return to the shareholders, including a dividend and debt adjusted per share growth. Further details on our return of capital plans for the second half of the year will be provided with our framework in the following months. We will now -- I will now turn the call over to Ryan to speak to some of our operational highlights. Ryan?
Ryan Gritzfeldt: Thanks, Ken. For the quarter ended March 31, 2022, our production averaged 132,788 BOE per day comprised of over 80% oil and liquids. During the first quarter, we commenced completion activities on our second fully-operated, multi-well pad in the Kaybob Duvernay play, which we expect to bring on production in second quarter. Initial production rates from our first fully-operated, multi-well pad in the play remains strong, exceeding our expectations and continue to demonstrate the high-impact nature of this asset. Our annual average production guidance remains unchanged at 133,000 BOE to 137,000 BOE per day despite temporary lower production levels in second quarter resulting from power outages caused by a late April snow storm in North Dakota. Based on progress to date and expectations from the local power utility, we expect to fully restore the remainder of our North Dakota production by the end of May. We anticipate that up to 1,500 BOE per day of annual average production may be impacted as a result of this unexpected downtime or approximately 1% of our annual guidance. However, our production guidance range remains unchanged and continues to forecast higher production during the second half of the year based on our development program planning. Our production profile for the second half of 2022 continues to benefit from higher expected quarterly production, including the positive impact of 16 net wells in Kaybob, which are expected to come online during the balance of the year. Our execution in our Kaybob play continues to progress as demonstrated by our most recent pad, where we successfully reduced average drilling days per well to less than 15, a 30% reduction from our initial pad in late 2021. On a similar note, we continue to drive our drilling days lower in North Dakota, where we have achieved record drill times, lowering drilling days to less than 10, which is a 15% reduction from 2021. On the ESG front, we remain steadfast in our commitment to environmental, social and governance best practices. During the first quarter, we surpassed our emissions intensity reduction target of 50% relative to a 2017 baseline, reaching an emissions intensity of approximately 0.02 tons of CO2 equivalent per BOE. This reduction also includes a 70% reduction in our absolute methane emissions. We have met these targets 3 years ahead of schedule as a result of our continued efforts to reduce vented, flared and fugitive emissions across our operations. We are currently working to establish new environmental targets and expect to provide more details along with our sustainability report in the coming months. Before I hand it back to Craig for some closing comments, I would like to thank our employees and especially our field staff for all their hard work, persistent dedication and continued focus on safe operations throughout the first quarter. These efforts continue to demonstrate our commitment to safety, operational excellence and strong ESG performance. I'll now pass it back to Craig for final remarks.
Craig Bryksa: Thanks, Ryan. In closing, I'd like to reiterate our commitment to our core pillars of balance sheet strength and sustainability. Our first quarter results demonstrate our continued capital discipline, operational execution and robust excess cash flow generation. We are on track to generate $1.2 billion to $1.4 billion of excess cash flow in 2022, assuming $80 to $100 per barrel WTI pricing for the remainder of the year. Our asset base continues to benefit from high netback production in low-risk, high-return plays generating considerable excess cash flow. Our strong asset level returns and excess cash flow profile are further insulated by our significant tax pools, which currently total approximately $10 billion. As our balance sheet continues to strengthen, we expect higher levels of excess cash flow to be returned directly to shareholders, which we plan to detail on our upcoming framework. Before I sign off, I would like to invite all our shareholders to our Annual General meeting taking place next week on May 19. Please see our website for further details on our AGM. I'd like to thank our shareholders and encourage you to vote your shares and continue your engagement to help drive the overall success of our business. I'll now open the call for questions from the investment community. Operator, please open the call.
Operator: [Operator Instructions] And your first question will be from Michael Harvey at RBC.
Michael Harvey : Just a couple of quick ones for Craig or the team. First on hedging, it looks like you're only about maybe 6%, 7% hedged next year. After this update, we would have thought that would have been a bit higher. Maybe you could just give us a sense for what the driver there is. You just bullish on pricing? Or do you see it as balance sheet protection that's just not required anymore? And just kind of your broader hedging targets. Just trying to get a sense for if those are going to be lower going forward. The second question is just on the dividend. I know that framework is right around the corner, but maybe you could just give us a sense for what the methodology is currently for setting the size of that. Some companies use a simple payout. Some just want to pace the level of earnings on targeted yield. But just curious kind of how you got to that figure as you went through the homework there. That's it for me, but I would love any color on those.
Craig Bryksa: Yes. Thanks, Mike. It's great to hear from you, and thanks for the question. As far as the hedge book, so as you're well aware, this year, we're fairly hedged out at around 50% of our volumes for 2022. And when you look out into 2023, we've got a lighter book being built right now. That being said, we are building one. So for us, look, for us going forward, as our leverage continues to come into shape, so you look out over the year here and we get down into that, call it, 0.5 turn at some point, look for us to be a little bit lighter hedged on that. So somewhere in that neighborhood of, I would say, somewhere between 20% to 30% as the balance sheet is providing that protection. So probably not moving up to the 50% like you've seen us in the past. And then as the process on looking at that, we are looking out about 12 months right now with the backwardation in the curve. So we've been bumping into Q1 of 2023 and then bumping into Q2 now of 2023 and slowly layering in a book there. I would say you've seen us in the past use a combination of swaps, freeways and collars. I think right now, our main tool has been collars on that front. So look for us to continue to hedge. We are hedgers, probably not moving up to the volumes that you've seen us do here in the past just based on the strength of our balance sheet. I can paint you a picture that you're basically half a turn here in the short term. So no need to really hedge as strong as we have in the past. And then as far as the base level dividend, happy to have now had grown that over 3 quarters here when you look at us bringing it back in September and then increased it again in December and now increasing that again here this quarter. For us, we look at a simple payout, Mike. So when you look at the commodity right now on strip, it's about 6%. We always back test that to a $50 price deck to ensure that it's sustainable in a, call it, more of a lower price environment, so around $50. It's about a $0.12 -- sorry, a 12% simple payout at that level. So for us, we want to ensure that it's always sustainable.  I don't know, Ryan?
Operator: Next question will be from Chris Sakai at Singular Research.
Chris Sakai: Just I had a question on the crude oil barrels per day. I wanted to get your sense of where do you see this targeting in the next quarter. And as you mentioned that the Kaybob has, what, 16 new wells coming on. I wanted to see how that would affect the barrels per day number.
Craig Bryksa: Yes. So I can take a bit of that, and thanks for the question, and I'll pass a little bit of the color on Kaybob to Ryan. But so when you look at us here on guidance, we're on track for that 133,000 to 137,000 for the remainder of the year. We are having a little bit of a blip here or a hiccup like Ryan had mentioned earlier in the call with some downtime in North Dakota due to the power outages that have gone on there. So I would expect somewhere in Q2 for us to be I don't know, somewhere in the neighborhood of 125,000 to 126,000-ish BOE per day, with the bulk of that in that 80% still being -- a little bit over 80% being liquids.  And then Ryan, do you want to provide any color on Kaybob operations?
Ryan Gritzfeldt : Yes. So yes, 16 more net wells coming on production throughout the rest of the year. As we mentioned last quarter, our average IP30 rate of those is around 800 BOE per day, 80% liquids. And so using that production profile and those wells coming on second half, obviously, ramps up our Q3, Q4 production to ultimately hit our -- within our guidance range of 133,000 to 137,000 BOE per day.
Chris Sakai: Okay. Great. And then I see on your guidance, you've got a revised annual operating expenses slightly upward, about $0.50 in the range. Can you just share why is that revised upward and what's going on there?
Ryan Gritzfeldt :  Yes. Yes, that $0.50 upwards revision on a per BOE basis is around 3% to 4%. So again, a little bit of inflation cost increases across the board, trucking, fuel, well servicing, power equipment R&M. Some line items, we've held flat at no cost increases. Some are more like 10%, again, on fuel trucking. So all in, that works out to about 3% to 4% kind of cost increases and hence, the slight guidance increase to around $14 per BOE at the midpoint.
Operator: Next question will be from Travis Wood at National Bank.
Travis Wood: I have 2 questions. And the first, I wanted to build off of Mike's question around kind of hedging and debt. We've seen some producers effectively to use what you're looking to do in terms of hedge percentage over time and use the balance sheet to self-hedge. Do you have an idea of what you want net debt to be in a $50 world in order to potentially see that 0% hedge book on a go-forward basis?
Craig Bryksa: Yes. So thanks for the question, Travis. I don't think you're ever going to see us with a 0 hedge book. We are hedgers and we do -- we use it for a couple of different things, and one of them is to certainly protect our dividend in a downward price environment. But for us, look for us going forward to be somewhere, like I'd mentioned to Mike, somewhere in that 20% to 30% range. And as you look out at our leverage, we do have a nearer-term debt target of $1.3 billion, which is 1x debt to cash flow at $55.  When you look to a $50 price environment like you had mentioned, we'd like to be somewhere around 1 time -- or sorry, $1 billion of absolute debt, which would be somewhere in that neighborhood of about 0.8, 0.9x debt to cash flow. So look for us to continue to strengthen the balance sheet in that fashion, but also look for us to continue to have a little bit of a hedge book built out in that range of 20% to 30%. But again, taking a 12-month view out on commodities based on the backwardation in the strip.
Travis Wood: Okay. No, that makes sense. And then I wanted to ask questions around inflation. I think it's a pretty common theme so far through Q1 earnings and impacting 2022 spending and OpEx. Could you help us understand what drivers you're seeing on the capital side on inflation and maybe even regionally if you're seeing a shift? And then also kind of the same questions on OpEx as well.
Ryan Gritzfeldt : Travis, it's Ryan. I can take that one. So yes, when you look across our entire portfolio, we're seeing up to 15% cost increases. So I think our operations & supply chain management teams have done a pretty good job forecasting that and understanding where the bulk of those cost increases lie for us, casing, fuel, and are fracking, even though we have our pricing for fracking on a WTI realized price basis.  And so when you look across our asset base, we have probably over 80% of our remaining capital spend either contracted or controlled and only less than 20% of our services and costs even though secured, can still vary slightly. So -- and we're pretty confident in how we've forecasted those cost increases. Having said that, the efficiency wins that I've mentioned in Kaybob and North Dakota helps offset that. So we were managing to the higher end of our previous capital guidance range and hence tightened that up to $875 million to $900 million. On the operating cost question, pretty much kind of what -- how I answered that first question. It really is a bit across the board. Like I said, higher increases in trucking, fuel cost, chemicals, some other subcategories we've held flat. Also a little bit of onetime annual increases on stuff like property tax, surface leases, power, et cetera. But in general, a pretty small tweak, 3% to 4% higher on inflationary pressures.
Operator: Thank you. And at this time, Mr. Bryksa, we have no further questions. Please proceed.
Craig Bryksa: Thank you for joining our call today. If you have any questions that were not answered, please call our Investor Relations team at your convenience. Thanks, everybody.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.